Operator: Good day ladies and gentlemen and welcome to the Pulse Biosciences Second Quarter 2017 Investor Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder this conference call is being recorded. I would now like to turn the conference over to Mr. Brian Dow, Chief Financial Officer. Sir, please go ahead.
Brian Dow: Thank you and good afternoon everyone, welcome to Pulse Biosciences second quarter investor conference call. On the call with me today are Darrin Uecker, our President and Chief Executive Officer, Dr. Richard Nuccitelli, our Chief Science Officer and Ed Ebbers, our Vice President and General Manager of Dermatology. Couple of housekeeping items before we begin today's call. First I would like to remind everyone of our upcoming annual meeting of stockholders being held Tuesday May 16 at 8 A.M. Pacific Time at our future corporate headquarters in Hayward California. There are several important matters that will be acted upon at the meeting and we would like to ask all stockholders to please cast your votes. Next, I'd like to remind you that on today's call we may be making forward-looking statements these include plans and expectations relating to our operational, scientific, clinical, and financial projections products including the uses in applications of such products and other future events. You should not place undue reliance on such forward-looking statements which are subject to a number of assumptions, risks and uncertainties, and may differ materially from actual results. These risks and uncertainties are more fully described in our Securities and Exchange Commission filings including our most recently filed annual report on Form 10-K. Pulse Biosciences undertakes no obligation to update forward-looking statements as a result of new information or future events. In addition, please note that today’s call is being recorded and will be available for audio replay on the investor section of our website at www.pulsebiosciences.com shortly after the conclusion of this call. Investors electing to use the audio replay are cautioned that forward-looking statements made on today's call may differ or change materially after the completion of the live call. I would now like to turn the call over to our President and Chief Executive Officer, Darrin Uecker.
Darrin Uecker: Thanks Brian, and good afternoon everyone and welcome. We are pleased you can join us on this quarterly conference call and are excited to share with you our recent progress. Although our most recent investor call is less than two months ago, we have exciting progress to share towards our goal of delivering our proprietary Nano-Pulse Stimulation technology to physicians and their patients. With each call, our investor base is growing. And so I'd like to take a moment before we get into the update to review our mission and strategy of Pulse Biosciences. Our mission at Pulse Biosciences is to build a viable company that designs, produces and commercializes Nano-Pulse Stimulation technology to improve and extend the lives of patients. Our strategy to achieve this is to develop a therapeutic tissue treatment NPS platform, demonstrate the unique benefits of the platform in a number of compelling treatment applications and commercialize NPS systems to deliver the benefits of NPS to physicians and their patients. Within each application area or vertical market, we are working with key opinion leading physicians to develop and execute pilot studies to determine where this technology has the highest value to clinicians and patients from a patient outcome market need and time to market perspective. We’ll then determine the optimal path to deliver those applications to the market through our own distribution channel or through potential partners within each vertical market. With that as our foundation, I would now like to update you on our recent highlights and our progress against previously reported milestones. First, as we communicated on our March 14 Investor Call, we recently submitted the Company's first 510(k) to FDA for the PulseTx System our first NPS platform. Today we are pleased to report that we have passed what FDA calls the acceptance review and are currently in substantive review. Substantive review is when the lead FDA reviewer conducts a comprehensive review of the 510(k) commission. As we communicated previously, it is common for the FDA to request additional information or further clarifications based on the substantive review process. The time required to respond to a request for additional information is unknown until the request is received and has been thoroughly reviewed. It's important to point out that this is Pulse Biosciences’ first submission to the FDA and the first step in our regulatory strategy. Our objective is to obtain a 510(k) clearance with an indication for soft tissue ablation, which we believe can serve as a foundation for future clearances, for specific indications that we will pursue with the addition of clinical data. The 510(k) clearance for soft tissue ablation may also enable us to accelerate our pursuit of additional pilot studies. As a reminder, we do not anticipate that this 510(k) clearance would lead to an immediate commercial launch of the PulseTx System. The current PulseTx System was developed to enable broad clinical study use, but not as a commercial ready system. At this time, we are waiting for the next communication from FDA regarding this 510(k) submission and we’ll respond accordingly. We also reported in our March Investor Call that we would soon be starting our first pilot study in veterinary medicine. We are pleased to report that we have begun enrollment in this study and have successfully treated our first patient. This study will enable us to gain important experience with NPS in the treatment of solid tumors that may have translational relevance to human malignancies and may also lead to commercial applications in veterinary oncology. This pilot study is in canine oral melanoma, a cancer that we estimate affects 90,000 dogs in the US each year. The objectives of the study are to demonstrate that MPS can safely reduce the volume of the treated primary tumor and to gather data on systemic immune system changes in response to the NPS treatment. The pilot study treatment consists of applying NPS directly to the melanoma tumor using our PulseTx System and applicators designed specifically for this application. This first treatment was well tolerated by the patient who returned home shortly after the procedure and recovered without issue. The patient recently returned to the clinic for a two-week follow up visit and continues to do very well. The patients in this study will be followed over the course of 112 days. This pilot study is being conducted at Veterinary Centers of America, Animal Diagnostic Clinic in Dallas, Texas in coordination with the VCA Clinical Studies Group. A successful start of this study is an important milestone in both our veterinary and immuno-oncology programs and is the first use of the PulseTx System in the veterinary clinic and in the treatment of a malignant disease for therapeutic intent. We are currently recruiting additional patients into this study and expect this will continue over the next several quarters. We also anticipate adding additional clinics as we progress. We look forward to sharing results of the study as sufficient data is generated. We are also pleased to report on a recent publication titled Nano-Pulse Stimulation is a physical modality that can trigger in immunogenic tumor cell death in a well respected peer reviewed Journal for ImmunoTherapy of Cancer. The work was performed by Pulse Biosciences and the lead author is Dr Richard Nuccitelli, our Chief Science Officer. Rich will discuss the data and its importance later on in this call. With that I would now like to turn to our dermatology vertical. On our last call, we reported the completion of our initial dose response study in dermatology, our first clinical use of the PulseTx in human pilot study. We are pleased to report at this time that we have complete the review of the data from the study, continue to believe NPS offers unique advantages over current treatment modalities and we are moving forward with an indication study we feel is well suited for NPS. I would now like to turn the call over to Ed to provide a more detailed update in our dermatology program.
Ed Ebbers: Thank you Darrin and good afternoon everyone. Since the last update on our human dose response study in dermatology, we have obtained expert dermatology review of the skin response in skin safety data that has facilitated the important decisions on our next clinical study targets. Recall that this dose response study was designed to evaluate the tissue effects of a range of NPS treatment levels for doses on skin in five patients. Over 150 individual sections of skin were treated during the study and reviewed at different time points after treatment to assess the skin . Skin response was assessed by a blinded analysis of clinical photographs of the treated skin by these expert dermatologists and a detailed histologic review of the treated tissue by a specialist in dermatopathology. The visual and microscopic examination of the epidermal and dermal effects of NPS treated skin provides convincing affirmation of our unique non-thermal tissue effect clearly differentiates Pulse’s NPS technology from current thermo-based treatments that are commonly used to remove undesired skin lesions. Skin legion removal is the most frequent reason for visits to the dermatology office. Our panel of dermatologists are impressed with the unique tissue effect seen in this study and have provided a long list of potential candidate skin lesions for which they believe the unique NPS tissue effects may offer better outcomes compared to existing thermal, pharmaceutical or surgery based options used to remove these skin lesions. Our development plan in dermatology reflects this broad potential to progressively build the clinical evidence needed for our regulatory clearances and commercial success. As we discussed in March, the next step in this development plan is to embark on a specific indications study in dermatology. In pursuit of this goal, we recently obtained IRB approval to study the use of our PulseTx System for a benign skin lesion removal target in a multicenter study. The approval of this study is an important milestone on our clinical and regulatory path for skin specific clinical indications. We expect to enroll our first patient in this clinical study this quarter and look forward to sharing the achievement of this milestone once it has been accomplished. We are planning to complete this initial dermatology indication study during 2017 and submit study data to the FDA in support of our 510(k) submission in 2018. Thanks to our continued positive results we are on schedule to achieve these important milestones in route to commercialization. Our clinical study and regulatory clearance strategy parallels our product development program to define a dermatologist specific commercial system in preparation for commercial launch. I look forward to discussing additional progress and milestones with you moving forward. I would now like to turn the call back to Darrin.
Darrin Uecker: Thanks Ed, again we are very pleased with the continued rapid evolution in our dermatology development program and achievement of additional milestones that move us closer to entering the dermatology market. We look forward to sharing additional information regarding the initial clinical indication and the opportunity we believe exists for the use of NPS in that indication once the study is underway. Turning now to our immuno-oncology program, we continue to invest in research to further understand the mechanisms of NPS. As I mentioned a few moments ago, the Journal for ImmunoTherapy of Cancer recently published our work investigating the triggering of immunogenic cell death or ICD in cancer cells using various NPS parameters. This publication exemplifies the ongoing progress in demonstrating the science underlying our NPS technology. I'd like to turn the call over to Rich to discuss this recently published work.
Richard Nuccitelli: Thanks Darrin, and good afternoon everyone. In previous investor calls and presentations, you may recall that in preclinical models we have shown that treating tumors with NPS can eliminate those tumors and stimulate an adaptive immune response that targets related tumor cells [indiscernible] challenge. Based on those early findings, we have researched the mechanism by which NPS stimulates an adaptive immune response. We previously reported findings at the 2016 Society of Immunotherapy of Cancer meeting including a poster presentation on some early results showing NPS treated tumor cell lines triggered immunogenic cell death or ICD. As a brief reminder as an accepted theory that when sufficient immunogenic cancer cells undergo ICD in vivo it may lead to the induction of an anti-tumor immune response through the activation of energy in presenting cells and the activation of specific immune cells including CD8 and CD4 T cells. Therefore demonstrating that NPS induces ICD in multiple cancer cell lines is considered important evidence in support of the mechanism by which it induces an adaptive immune response. To this end, we expanded our work with regard to NPS and its ability to induce ICD and the data were published in the April issue of The Journal of Immunotherapy of Cancer, one of the premier peer-reviewed journals for immuno-oncology research. A link to the published article and the poster presentations I referred to earlier is available on our website under the technology heading. ICD is characterized by the emission of specific danger signals that enlist and stimulate the body's immune system. These signals are called danger-associated molecular patterns or DAMPs for short. The three main DAMPs in ICD are calreticulin movement from the endoplasmic reticulum to the cell surface, ATP secretion and secretion of a nuclear protein called HMGB1. Calreticulin provides a good example of how a single DAMP can help activate the immune system. Calreticulin is a so-called eat me molecule that can [indiscernible], causes dendritic cells to phagocytosis, the calreticulin labeled cell and then present the antigens from that phagocytosed cell to the immune system that in turn generates cytotoxic T cells that circulates throughout the body targeting related tumor cells. In our published paper we demonstrated that treating three different cancer cells lines in vitro with NPS pulses resulted in all three DAMP signals and that DAMP emission levels were comparable to doxorubicin and mitoxantrone which are well known ICD inducing chemotherapeutic. The demonstration of NPS’ ability to generate these key DAMP signals provides important insight into the mechanism by which NPS stimulates the immune system to target cancer cells and exemplifies the excellent work of our team of biologists conducting that we are demonstrating the capabilities of our technology. I would now like to turn the call back to Darrin.
Darrin Uecker: Thanks Rich and to your team for the great work in getting this important research published. As we reported in the March call we continue to make progress in pursuit of the human pilot study in immuno-oncology and continue to develop plans for initial study in in-transit melanoma. We have no new news to report on this effort except that we continue to make progress towards initiating this study as we have described previously. I would now like to turn the call over to Brian to discuss our financial results for the first quarter of 2017.
Brian Dow: Think, Darrin. Our financial results for the first fiscal quarter ended March 31, 2017 reflects the ongoing investment in our development in clinical programs along with the requisite operations of a public company. The balance sheet at the end of the first quarter remained strong with cash and investments totaling $18.9 million, an increase of $2.5 million compared to the $16.4 million reported at the end of the fourth quarter of 2016. The $18.9 million reported reflects proceeds of $5 million from our February 2017 private placement offset by $2.5 million of cash used in operations during the quarter. As I discussed on our previous call, during February, we completed a $5 million private placement with Life Sciences’ executives and investors Bob Duggan and Maky Zanganeh. The financing entailed the sale of approximately 820,000 unregistered shares or 6% of our then outstanding shares of common stock at a price of $6.10 per share, roughly the trading price at the time of negotiating the transaction. We have committed to registering these issued shares and plan to file the necessary registration statement in early June. Operating expenses for the quarter ended March 31, 2017 totaled $3.2 million compared to $2.8 million for the quarter ended December 31, 2016 and $1.7 million for the first quarter of 2016. The increase in first quarter compared to the immediately preceding quarter reflects a $350,000 increase in general and administrative expenses driven primarily by year-end accounting, audit and legal fees associated with year-end financial reporting and proxy activities combined with increased compensation costs stemming principally from added headcount and increased performance-based compensation accruals. During the first quarter of 2016 we were in the midst of our IPO and we’re operationally a significantly different enterprise, therefore I will not be commenting on a comparison between the current quarter and the same quarter last year. Looking to 2017, we continue to anticipate operational growth across the company, including expansion of our engineering and development capabilities and build out of our administrative support infrastructure. With this planned growth, we continue to have the resources necessary to fund our operations into mid-2018. Cash used for 2017 is anticipated to be $13.5 million representing an increase of 75% over 2016. That concludes my remarks on the financials. I'd now like to turn the call back to Darrin.
Darrin Uecker: Thanks Brian, 2017 continues to be a year of clinical data development. To that end we have IRB approval to move forward with a clinical study and an initial indication in dermatology. We expect to announce the start of this study with details regarding the study design and choice of indication in the coming months and we expect to complete this study by the end of the year. We successfully treated our first patient in our veterinary medicine oncology study and are continuing to recruit, enroll and treat patients in that study. We continue to make progress in our immuno-oncology research and study design and finally our initial 510(k) submission to FDA is under substantive review and we're waiting on feedback. We continue to make progress on many fronts and appreciate the opportunity to share with you. That concludes our prepared remarks. Operator we would now like to open the call to questions.
Operator: [Operator Instructions] And our first question comes from Chris Hammond with Citadel. Your line is now open.
Chris Hammond: Hey guys, thanks for taking my question, can you hear me okay?
Darrin Uecker: Yeah, we can hear you fine, Chris.
Chris Hammond: So a couple questions, so first of all with regard to the 510(k) submission, I just want to be clear here, there seems to be a lot of excitement in the marketplace about what that means for the company, but to my understand, if that submission comes through that means that gives you the platform to then go out and pursue other IDE trials and then you can study different indications and then from there that will require PME application and that restarts the FDA filing application, do I ask that correct and in that various?
Darrin Uecker: Yeah. Hey, Chris. Yeah. Let me go ahead and answer that, Chris. So thanks for the question, first of all and for participating in the call. We appreciate it. So the 510(k) as we've talked about on this call and previous calls, our strategy is to first get an indication for soft tissue ablation and once we get that indication, we believe that that will be a foundation for future indications that will include clinical data. So for example, in the dermatology side, what you heard us talk about and what Ed talked about was a clinical study that would generate clinical data. We would take that data to FDA in an effort to get a specific indication for the system in dermatology, which we hope would build on a soft tissue ablation clearance. And so it is -- as we suggested, more of a foundational clearance, not one that is going to drive an immediate commercial launch, but one that we will build on going forward with clinical data.
Chris Hammond: [Technical Difficulty]
Darrin Uecker: Yeah. I'm sorry, Chris. You're breaking up. I'm having a hard time hearing you.
Chris Hammond: My question is on the timeline until when you actually see commercial revenues. So if 510(k) is on time at least from your internal projections and you do the study, process the study, submit the data, get DMA approval and launch the timeline, when would you actually see a commercial dollar?
Darrin Uecker: So, yes, so we have not projected a timeline for when we would receive our first commercial dollar. As you I think heard Ed talk about, our plan is to generate the dermatology data in this year. So we’ll finish that study this year and file that with FDA in 2018. And so our anticipation is that a clearance would follow that submission of data and launch would follow that clearance.
Chris Hammond: Okay. That's fair. And then with regards to do the veterinary clinical update you gave, if you could [Technical Difficulty].
Darrin Uecker: Yeah. So the announcement today was that we have started that study and we've treated the first patient
Chris Hammond: Okay. So, but the first patient is a dog, like the k9?
Darrin Uecker: Yes. That is absolutely correct. [Technical Difficulty]. No, no. You’re not confused. So this is a companion animal. So a dog, somebody's pet and it's a patient in every sense of the word and was brought into the veterinary oncology clinic, enrolled in our study just as you would see in human studies and was successfully treated a couple of weeks ago.
Chris Hammond: Okay. That's fair. And then with regards, I apologize if I missed this, [indiscernible], so just with regard to your cash, I saw your cash balance via the 8-K and then it looks like you guys are burning about 3 a quarter. So if I project that out, I think the comment was that you guys can run through with mid-18, but obviously you wouldn’t wait that long, do you have any idea for what your cash needs would be as you get further down the clinical pathways, seeing your 510(k), I went up on a couple of trials and then after that, I would need to hire a sales force or whatever, what does the actual cash raise timeline look like before you actually run out of cash?
Brian Dow: Hey, Chris. It’s Brian. Thank you for the question. With respect to that, as we did indicate and you're correct, we believe we have the cash to get through mid-2018. We’re in the process of evaluating what that fund raise and what opportunities might lie in that regard to pursue those here later this year. With that, we will remain opportunistic as we were in February for opportunities for additional capital both dilutive and non-dilutive.
Chris Hammond: Just the next, does that come in the form of private capital or the markets?
Brian Dow: We haven't made that determination yet and we're going to be keeping the options available as we formulate our plans for pursuing things later this year, early next year.
Chris Hammond: Fair. And then just one final question and I'll run away, but I'm just very curious about the IPO lockup expiration that came a month early, I don't really see that very often and I'm just curious why would that happen this time around, especially considering how successful the IPO was. I figure there’d be a lot of people interested.
Brian Dow: That was a determination that was made by our lead underwriter, MDB capital and from that standpoint, it was the decision that they had made to release the lockups from the IPO and that was our prerogative to do so.
Chris Hammond: Okay. But to be clear, they’ve got board seats in their front page holders?
Brian Dow: No. MDB does not have a board seat. Robert Levande, the Chairman of our board is an employee of MDB Capital, but that is not an MDB Capital board seat and yes, they do remain one of our greater than 5% shareholders.
Operator: And our next question comes from Michael Tradenberg [ph] as a private investor. Your line is now open.
Unidentified Analyst: I had a question and maybe I'm not as technical as the guy was just before me, but I'm wondering, does that mean you will be releasing more shares of stock in the next few months to keep gaining more capital or are you holding out until later in the year or next year to see how things go? I think you said that you have enough capital to get through halfway of 2018. I just -- just reading and everything, I’ve read that this possibility of your releasing 4 million or 5 million assumed within this month.
Brian Dow: Hey, Michael. Thanks for the question. This is Brian and thanks for calling in today. With respect to the lock up that was just released, the lockup of shares relates to securities that were outstanding pre-IPO with our initial private placement investors and with the founders and those shares are outstanding. So it's not that new shares are coming to the market or that has anything to do with any additional fund raising opportunities that we may take advantage of. So that's -- that was a contractual lockup of the ability for those shareholders to be able to trade. Then to the other portions of your question, yes, we do have, we believe we have cash to get through 2018 and are actively strategizing what our next steps with respect to financing will be.
Unidentified Analyst: Okay. Just so I understand -- so now that they're out being traded and it's out there, does that dilute the shareholders’ dollar value of the stock at all or well?
Brian Dow: No. With respect to equity outstanding, the amount of shares outstanding has not changed and with what we're seeing in the markets that is -- those are somewhat different issues. So with that, the number of shares outstanding has not changed as a result of the lockup.
Unidentified Analyst: Okay. And then I had one more question if it's all right. You have patents on NPS, correct?
Brian Dow: Correct.
Unidentified Analyst: Is there any other companies out there that have similar type of patents that can -- that will be going against you guys or racing against you for success in this field?
Darrin Uecker: Yeah. Hey Michael. This is Darrin. Thank you for the call and for the questions. So there are a lot of companies in the medical device space certainly and there are a lot of technologies going after a lot of different applications. We feel very comfortable with our patent portfolio and we think we have a very strong patent portfolio as it relates to our technology and we continue to evolve that portfolio every day. We reported previously the numbers of patents that we have and we continue to file new patents. So without trying to speculate on what other companies are out there and how they may be competitive against this technology, I think what I would say is that we have a very strong patent portfolio. The company was founded on that and we will continue to grow that portfolio in support of the technology and the products that we develop. And there may be competitors that come along and we’ll continue to be I think optimistic about our technology and what we can bring to the market.
Operator: And our next question comes from Robert Sussman with Bentley Capital. Your line is now open.
Robert Sussman: Robert Duggan, even though he bought his first stock at six, has been continually buying stock and I think he files a day or two ago you, he bought more stock in the 23, 25 range. If you do need more capital, would you consider doing another placement with him rather than going to the public marketplace, would that be a possibility.
Brian Dow: Hey, Robert. It's Brian. Thank you for the question. Obviously, whenever we're looking at financing, we will be opportunistic in how we do that with respect to the potential for a transaction, specifically with Mr. Duggan. That's not something that we would be commenting on to a point that we actually had a conversation, but as of right now, we are in the process of strategically planning what the next round of financing will look like.
Operator: Thank you. And our next question comes from [indiscernible]. Your line is open.
Unidentified Analyst: Congratulations on hitting these milestones. Really intrigued by the veterinary applications, given the shortest timeline that it might have and can you add some color to what the scale of this opportunity, 90,000 seems like a lot of pets, I know VCA is large, I don't know how they define large. But I know that people spend my family included -- quite willing to spend a fair amount of money to have their pets treated. And if this -- its success could be determined relative to the clinical outcome on this path in a sort of time as a, I think you said 112 days, then that might -- does that suggest that VCA would be able to -- well just help me understand what could be the -- what happens after that. You said that the other pets treated, help us understand the scale of that please?
Darrin Uecker: Thanks Jeff for the question. So as I think you and likely others on this call have heard us talk previously, we think that the veteran medicine market in particular on oncology represents a very interesting opportunity. The reason that, as I mentioned in the prepared remarks, the reason that we are involved in this study with our technology is really twofold. One reason is we think there is significant translational benefit with human malignancies and secondarily, again, we think that there could be an exciting opportunity in veterinary medicine. I would reiterate, this is a pilot study, so and again this is the first -- really the first patient that we've treated with the malignancy for therapeutic intent. So from the perspective of kind of where we're at in this process, we're at the beginning, but we have started. We treated our first patient and we're very excited that it was a successful procedural treatment and we're excited to follow that patient and the patients that come after. And where it goes from there depends really on the data. I think if it goes as we hope, then we would imagine that we would expand and potentially treat other indications, in veterinary oncology and then look for commercial opportunities in veterinary oncology. Who we do that with, what companies we do that with I think is still very wide open. We have partnered with a specific VCA clinic with this initial pilot study in your backyard and they've been fantastic. We've partnered with VCA clinical study group and they've been fantastic. So we're very happy with that relationship today. If we expand on this study, which we may very well do as I mentioned, I expect that we could very possibly expand into other VCA clinics. Whether or not that would indicate any kind of relationship going forward, it really doesn't that still has to come in the future as we generate this data. So I think the color I can put on it is just to reemphasize our excitement with the start of this study, our interest in both veterinary medicine and of course human medicine in this area and our enthusiasm for continuing to treat these patients and see what that data looks like and then moving down the path. Beyond that, I think we wouldn’t want to speculate. So I hope that helps you.
Operator: [Operator Instructions] And our next question comes from Paul Berkeley as a private investor. Your line is now open.
Unidentified Analyst: I'm a very new investor, so if I ask a stupid question, please forgive me. I’ve been trying to follow everything as best as I can and I've noticed in the correlation between the stock purchases of Mr. Duggan and his initial announcement of being involved with your company really impacted the stock price significantly. The question I’m kind of alluding to is how much of his reputation do you put as a value in your company versus the technology.
Darrin Uecker: Yeah. Hi, Paul. Thanks for the question. So I think what I would say is we are and we talked about this on the last call, which you may not have been on, but we're very excited to have Bob Duggan and Maky Zanganeh, both be investors in this company and Maky joining our board. I’ve known Bob and Maky for a very long time and have the utmost respect for them as life science entrepreneurs and executives. I have no idea to be perfectly honest how that translates into other investors and their willingness or not to invest in our company. I suspect like most people, or I expect some people like myself think highly of Bob and Maky and make decisions based on that, but we really don't know. We're excited to have them involved. We think that they're excited to be involved and I think that's about the most we can say with regard to that.
Unidentified Analyst: Okay. The information I've dreamed of the Internet makes me think that Mr. Duggan has a fantastic reputation and I'm very excited because of his past performance that he is investing in a good company and I believe that I'm following his lead in that. And a side question if you don't mind, I have psoriasis very badly and curious if there's any application with the NPS technology in terms of psoriasis or if it's simply an ablation issue with the tissue.
Darrin Uecker: Yeah. That's a very good question and we have gotten that question previously and I will answer it the same, which is we don't have any data on psoriasis using our technology. We think it is again a very interesting application. It's something that we hope to be able to look at in the future, but as of today we don't have any data one way or the other. So probably not appropriate to comment on whether or not it would be or not.
Operator: And that does conclude our Q&A session. I would now like to turn the call back to Darrin for any further remarks.
Darrin Uecker: Thank you and thanks again everyone for joining us on today's call and giving us the opportunity to share our continued progress. As a reminder, our annual meeting of stockholders will be held on May 16 at our future headquarters that's currently being readied for us to move in. We look forward to hosting you and giving you all the opportunity to meet the management team should you be able to join us. Please be sure to cast your votes for the measures in the proxy and we look forward to sharing our continued progress on our third quarter investor update call.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.